Operator: Welcome to Citigroup’s first quarter 2010 earnings review with Chief Executive Officer Vikram Pandit and Chief Financial Officer John Gerspach. Today’s call will be hosted by John Andrews, Head of Citi Investor Relations. We ask that you please hold all questions until the completion of the formal remarks at which time you will be given instructions for the question and answer session. Also, as a reminder, this conference is being recorded today. If you have any objections, please disconnect at this time. 
John Andrews: On our call today are CEO Vikram Pandit will speak first. Then, John Gerspach, our CFO will take you through the earnings presentation which is available for download on our website www.Citigroup.com. Afterwards, we would be happy to take your questions. Before we get started I would like to remind you that today’s presentation may contain forward-looking statements. Citi’s financial results may differ materially from these statements so please refer to our SEC filings for a description of the factors that could cause our actual results to differ from expectations. With that said, let me turn it over to Vikram.
Vikram S. Pandit : You’ve seen our results. They were clearly helped by strong capital markets and improving credit but net income of $4.4 billion also reflects the hard work we’ve done to put the company in order. We’ve been completely focused on serving our clients’ needs and that has helped drive revenue growth. We retained our expense discipline and we continued to reduce the risk and size of many of our legacy portfolios. The results of these efforts combined with an improved operating environment are reflected in these first quarter results. $25.4 billion in revenue and operating costs of $11.5 billion, net credit losses were down for the third consecutive quarter, non-performing assets were down for the second consecutive quarter and we had no net build or net release of our loan loss reserves. Securities and banking produced a net income of $3.2 billion. As you know, we have significantly restructured this business and today I believe we have the right business model and we’re executing well. I see further opportunities in securities and banking in the future. GGS made almost $1 billion of net income this quarter and continues to operate at or near record levels despite the low interest rate environment. International regional consumer banking business also made almost $1 billion of net income. Revenues were up 11% versus a year ago and credit costs declined by 47%. We like the client momentum and the credit trends we see in our international markets. North America regional consumer banking was about breakeven as credit losses on cards remained high. Our core businesses in Citicorp produced over $5 billion of net income this quarter earning attractive financial returns. Our non-core businesses in Citi Holdings loss $887 million. Those losses were far less than the $2.6 billion loss last quarter and the $5.5 billion loss of a year ago. The results reflected improving credit, asset reductions and lower risk. I want to reiterate the comment that I made at the Citi Financial Services Conference last month about our local consumer lending portfolio which is the main driver of losses in Citi Holdings. Assuming the US economy does not deteriorate we currently believe that the expected cumulative pre-provision net revenues plus existing loan loss reserves should be sufficient to cover expected net credit losses over time. Finally, our financial strength is substantial with a Tier-1 common ratio of 9.1%, Tier-1 of 11.2% and total allowance for loan losses of nearly $49 billion or 6.8% of total loans. Our results today are a reflection of all the progress we’ve made at Citi. None of the success would have been possible without the people of Citi. I would like to take this opportunity to thank my 265,000 Citi colleagues for their hard work, dedication and commitment. That is what has gotten us to this point. Looking forward, sustainable profitability is still my number one goal. The first quarter is a good sign that we’re making progress towards that goal but realistically the operating environment is critical, particularly the recovery of the US economy and the continued improvement of credit quality and most importantly job growth. There’s still uncertainty about the economy and job growth so our near term performance will continue to reflect the pace of economic recovery and the level of activity in capital markets. However, the long term picture is clear, Citi is well positioned to take advantage of all the long term growth trends we see in the global economy. Our franchise is strong, our global footprint unique and we’re having great success attracting talent and we’re building momentum. With that, let me turn it over to John Gerspach who take you through this quarter in detail.
John C. Gerspach, CPA : Let me start with our quarterly results on Slide Two. As you know, results for the first quarter of 2010 include the impact of the adoption of FAS 166, 167 which resulted in the consolidation of certain off balance sheet assets including securitized credit card receivables. Therefore, GAAP results for the first quarter should be compared to managed numbers for prior quarters. In the first quarter we reported revenues of $25.4 billion. Operating expenses were $11.5 billion, down 6% from the fourth quarter. Provisions for credit losses, claims and benefits were $8.6 billion consisting primarily of net credit losses of $8.4 billion. Net credit losses were down 16% from the fourth quarter on a comparable basis and we recorded a modest net loan loss reserve release of $53 million in the first quarter. We reported net income of $4.4 billion or earnings per share of $0.15 based on average diluted shares outstanding of $29.3 billion. This $4.4 billion represents the highest quarterly net income since the second quarter of 2007. On Slide Three, we summarize the balance sheet impact of FAS 166, 167. As of January 1, 2010 we consolidated approximately $137 billion of assets and $146 billion of liabilities on to our balance sheet, the majority of which was related to credit card securitizations. This translated to $10 billion of additional risk weighted assets. We also added $13.4 billion to our loan loss reserves which decreased our tangible common equity by $8.4 billion and in total these adjustments lowered our Tier-1 common ratio by 138 basis points. Importantly, we were able to largely offset the impact on TCE and Tier-1 common during the quarter. On Slide Four, we show the results for Citicorp and Citi Holdings. Citicorp reported $5.1 billion of net income in the first quarter while the loss in Citi Holdings narrowed to $887 million. Both segments benefited from a decline in net credit losses during the first quarter and the net loan loss reserve release in Citicorp was partially offset by a net build in Citi Holdings. On Slide Five, we show the results for Citicorp. Excluding CVA, revenues of $18.2 billion were up 17% from the fourth quarter driven primarily by securities and banking. Operating costs declined by 3% to $8.5 billion and net credit losses declined again this quarter by 5% to $3.1 billion. We also recorded a $367 million net loan loss reserve release. Excluding CVA, earnings before taxes almost doubled to $6.9 billion. Now, I’ll turn to the businesses within Citicorp. Slide Six shows results for our North America regional consumer banking business. Revenues were $3.8 billion in the first quarter, up 5% sequentially on a comparable basis. Retail banking revenues of $1.3 billion were up 4% quarter-over-quarter. These results primarily reflect higher mortgage revenues offset by lower deposit volumes and loan balance. Card revenues were $2.5 billion up 6% versus the prior quarter as pricing actions offset a sequential decline in purchase sales and average receivables. While pricing actions were able to offset the impact of Card Act in the first quarter. We expect the negative impact of Card Act to increase as additional changes are implemented during the year. We continue to estimate that Card Act could reduce revenues by a net pre-tax amount of approximately $400 to $600 million this year. Operating expenses of $1.6 billion were up 7% quarter-over-quarter. Excluding the impact of a litigation reserve in the first quarter, expenses were down slightly. On a comparable basis, net credit losses were up 6% this quarter to $2.2 billion reflecting an expected increase in net credit losses in our branded card business. Slide Seven shows the results of the international regional consumer banking businesses. International revenues of $4.3 billion were flat sequentially. We saw continued growth in investment sales of 11% with improvement in every region and average deposits and total loan balances each grew modestly by 2% in the quarter driven by Asia and Latin America. However, these trends were offset by deposit spread compression as well as seasonally lower card purchase sales. While we experienced some variability in drivers on a sequential basis, year-over-year comparisons remain strong reflecting the continued economic recovery in these regions. Operating expenses were $2.3 billion down 9% from the prior quarter and international credit costs were $735 million down 39% sequentially. Credit costs declined across all regions again in the first quarter with the most significant improvement in Latin America. Turning to securities and banking on Slide Eight, excluding CVA revenues were $7.7 billion up 48% versus the fourth quarter. The sequential increase in revenues reflects strong growth in our fixed income and equity markets business. Excluding CVA, fixed income market revenues were up 77% to $5.1 billion with widespread growth across rates and currencies, credit products and securitized products. In equity markets revenues excluding CVA grew 66% to $1.2 billion this quarter with particular strength in derivatives. In investment banking, revenues declined by roughly $400 million to $1.1 billion as higher debt underwriting revenues were offset by lower equity underwriting fees. The advisory business was down from the fourth quarter on lower completed deal volume. We achieved a number three ranking in announced global M&A in the first quarter with cross broader deals representing approximately 30% of market volume. Citi’s global presence gives us a unique ability to advise clients on these transactions particularly as an increasing number of deals are taking place in developing markets. Private bank revenues excluding CVA were $496 million in the quarter and in lending we saw a $462 million improvement reflecting lower mark-to-market losses on hedging activity. Operating expenses of $3.4 billion were down modestly versus the fourth quarter and credit costs improved again in the first quarter. Net credit losses were down 50% to $101 million and we recorded a net loan loss reserve release of $169 million. Slide Nine shows the quarterly results of our transaction services business. Transaction services revenues were $2.4 billion in the first quarter down slightly from last quarter driven by the absence of the fourth quarter gain on the sale of NikkoCiti Trust. Average deposits of $319 billion declined 5% versus the fourth quarter as we targeted a reduction in higher cost deposits and assets under custody declined 2% to $11.8 trillion due to the impact of foreign exchange. Expenses of $1.2 billion in the first quarter were down 5% sequentially. On a year-over-year basis, revenues for both TTS and SFS grew in the first quarter by 2% and 5% respectively driven by growth in average deposits of 15%, growth of assets under custody of 12% and higher client volumes across both businesses. We continue to invest in technology to support our clients. On average we invest roughly $1 billion annually on technology and transaction services to remain on the forefront of client service and product innovation. We show the results for Citi Holdings on Slide 10. Revenues were up 26% to $6.6 billion driven by positive marks in the special asset pools. Operating expenses were down 14% to $2.6 billion. Net credit losses declined 21% to $5.2 billion and the net loan loss reserve build was down 59% to $314 million. Slide 11 shows asset trends in Citi Holdings which ended the quarter with assets of $503 billion. In the first quarter we reduced these assets by $27 billion driven by $14 billion of net organic runoff, $9 billion of asset sales and business dispositions not including the impact of the Primerica IPO and sale which closed in the second quarter and $4 billion of net credit losses and net asset marks. However, these reductions were offset by $43 billion of assets which came on balance sheet with the adoption of FAS 166 and 167 mostly related to credit card receivables and student loans. At the end of the first quarter, local consumer lending had $346 billion of assets or over two thirds of Citi Holdings. The special asset pool had $126 billion of assets and brokerage and asset management was the smallest segment with $31 billion of assets primarily related to the Morgan Stanly Smith Barney joint venture. Turning to brokerage and asset management on Slide 12, revenues were up 25% sequentially to $340 million driven by first quarter gains on the sales of [Abertis] and Colfondos , two pension fund managers in Latin America and expenses were down 9% sequentially to $265 million as costs associated with Smith Barney declined. Slide 13 shows the local consumer lending segment. Revenues of $4.7 billion were up slightly versus the prior quarter on a comparable basis and operating expenses were down 13% to $2.2 billion. Credit costs improved again in the first quarter. Net credit losses of $4.9 billion were down 14% from the fourth quarter driven by improvements in US mortgages and international consumer credit and our net loan loss reserve build was down 56% to $386 million. Turning to the special asset pool on Slide 14, positive net revenue marks of $1.4 billion drove reported revenues in the first quarter. Operating expenses were down 36% to $131 million and credit costs declined 73% to $227 million driven by a decline in net credit losses. During the quarter we executed over $6 billion of asset sales. Slide 15 shows the results for the corporate other segment. The sequential improvement in revenues and net income is primarily driven by the absence of $10.1 billion of pre-tax losses associated with TARP repayment and the exit from the loss sharing agreement in the fourth quarter. Assets of $263 billion include approximately $107 billion of cash and cash equivalents and $103 billion of available for sale securities. Slide 16 shows total Citigroup net credit losses and reserve provisions. Net credit losses of $8.4 billion were down 16% versus the prior quarter and we recorded a modest net loan loss reserve release of $53 million versus a net build of $755 million in the fourth quarter. Corporate credit costs were $87 million in the first quarter down 89% sequentially. Net credit losses were down 66% to $364 million and we recorded a net loan loss reserve release of $277 million. The decline in credit costs reflects continued stabilization in credit quality across most segments of our corporate loan portfolio. Corporate non-accrual loans of $12.9 billion were down 4% versus the fourth quarter. The majority of credit costs are generated by our consumer businesses in regional consumer banking and local consumer lending. Consumer net credit losses of $8 billion declined 10% versus the fourth quarter and the net loan loss reserve build of $224 million was down 78%. Slide 17 shows total Citigroup loan loss reserves. Loan loss reserves were $48.7 billion at the end of the first quarter or 6.8% of total loans. Slide 18 shows consumer credit trends for Citigroup. Net credit losses of $8 billion were down 10% this quarter driven by lower losses in Citi Holdings and our net credit loss ratios declined again this quarter to 6.1%. Our consumer loan loss reserve ratio increased to 7.8% driven by FAS 166, 167 and the resulting consolidation of securitized credit card receivables on our balance sheet. Over 80% of our consumer net credit losses were generated in North America concentrated in the Citi branded and retail partner card portfolios and in US consumer mortgages. Net credit losses in North America declined 7% to $6.5 billion during the quarter and international net credit losses also improved significantly down 20% to $1.5 billion. Slide 19 shows consumer credit trends in our international markets. Net credit losses and delinquencies were down in the first quarter in every region. In Asia, credit trends in Korea remained stable to improving while India showed the most significant decline in both net credit losses and delinquencies. In Latin America improving credit trends were driven by Mexico and Brazil. In EMEA, net credit losses and 90 plus day delinquencies improved across nearly all markets and for the international consumer businesses within local consumer lending net credit losses in 90 plus day delinquencies were also down driven by asset sales in EMEA. Slide 20 shows North America credit trends for Citi branded cards and Citicorp and retail partner cards in Citi Holdings. We continue to see stable to improving credit trends across both portfolios. In Citi branded cards higher fourth quarter delinquencies created an expected increase in net credit losses of 7% to $2.1 billion. However, dollar delinquencies declined in the first quarter in both early and later stage buckets. On a percentage basis, delinquencies are up in Citi branded cards due to a declining loan balance. In retail partner cards, net credit losses declined for the third consecutive quarter by 2% to $1.9 billion driven by loss mitigation efforts and a declining loan balance. Both early and later stage delinquencies also improved in the first quarter. Slide 21 shows the historical trends for net credit losses and 90 plus day delinquencies in our mortgage portfolio in Citi Holdings. Both first and second mortgages experienced lower net credit losses and lower 90 plus day delinquencies in the first quarter. Net credit losses on first mortgages declined 24% to $819 million driven by HAMP loan conversions, an improvement in loan loss severity and roughly $1 billion of asset sales during the quarter. For second mortgages net credit losses were down 14% to $851 million driven by roll rate improvement. Slide 22 provides more detail on delinquency trends in first mortgages in Citi Holdings. Total delinquencies were down 15% to $14.3 billion in the first quarter driven by lower delinquencies across all buckets. The most significant drivers of improvement this quarter were asset sales and the impact of HAMP trial mods moving to permanent modification. While we continue to evaluate the impact of HAMP we are somewhat encouraged by our results to date. Through the first quarter we converted over $2 billion of HAMP trial mods in our on balance sheet portfolio to permanent modifications with many more borrowers continuing in active trials. Early results indicate that redefault rates are likely to be lower for HAMP modified loans versus non-HAMP programs. Slide 23 shows the delinquency trends for second mortgages in Citi Holdings. Total delinquencies were down 9% to $2.5 billion in the first quarter driven by lower delinquencies in all buckets. However, 30 to 89 day delinquencies have remained fairly stable. Slide 24 summarizes our quarterly asset trends. We ended the quarter at $2 trillion in total assets, up 8% from the fourth quarter primarily driven by the impact of FAS 166, 167. Citi Holdings now represents approximately 25% of our total assets. Our NIM increased by 67 basis points during the quarter. Nearly three quarters of the increase was due to the impact of FAS 166, 167 and the remainder was driven by the absence of interest payments on trust preferred securities repaid in the fourth quarter as well as the deployment of cash in to higher yielding investments. Slide 25 shows the trend in our key capital metrics. At the end of the first quarter our Tier-1 and Tier-1 common ratios were 11.2% and 9.1% respectfully, up significantly from year end, adjusted for FAS 166, 167. So in summary, our first quarter net income of $4.4 billion was the highest for Citigroup since the second quarter of 2007. Strong revenues in our institutional businesses reflect the continued strength of our client franchise. Drivers of our regional consumer banking businesses showed continued growth internationally and losses in Citi Holdings narrowed during the quarter as we continue to reduce these assets. We also demonstrated continued expense discipline across the firm and we benefited from both internationally and in North America. Earnings growth contributed to strong capital ratios at period end even after the adoption of 166, 167. Looking forward, I’d like to discuss a few factors which may reflect our results. On the revenue side, while we believe securities and banking first quarter results were largely representative of our core business, the first quarter is historically the strongest period of the year particularly in fixed income. Additionally, as I mentioned before, Card Act is expected to have an increasingly negative impact on US credit card revenues. Net revenues marks in the special asset pool will continue to be [inaudible]. On the cost side, operating expenses may increase in Citicorp going forward as we continue to invest in the business. We will also absorb the cost of the UK bonus tax in the second quarter and of course, credit costs will continue to be a significant driver of earnings performance. In the first quarter we saw an accelerated decline in international consumer net credit losses and in North America, the decrease in consumer net credit losses exceeded our initial expectations mostly due to the improvement in US mortgages. Looking forward we currently expect consumer net credit losses to continue to modestly improve. Internationally, we expect consumer credit trends to continue to improve at a moderating pace as long as economic recovery in these regions is sustained. And, in North America, we also expect consumer credit trends to continue to improve based on the stable to improved delinquencies we are seeing in our major portfolios as well as early signs of economic recovery. However, significant uncertainty remains in the US particularly with regard to employment levels and the risk of future legislative actions. Our consumer loan loss reserve balances will continue to reflect the losses embedded in our portfolio due to underlying credit trends as well as the impact of forbearance programs. That concludes the review of the quarter. However, before I turn it back over to Vikram, let me be clear about one issue that has attracted a lot of attention since Friday. So, let me state the following, Citi is not involved in the matter the SEC announced on Friday. It has been widely reported that the SEC among other regulators is conducting an industry wide investigation in to a wide range of subprime related issues. As we disclosed in our 10K we are fully cooperating with these investigations and it would not be appropriate for us to comment further. With that Vikram, now back over to you.
Vikram S. Pandit : This is an important quarter for us, we’ve come a long way. The most important thing is that we’re continuing to execute well across the entire company and that is due to the great people of Citi who have worked extremely hard. We have more work to do, particularly to deliver on the potential of this great franchise and that’s exactly what we’re going to be focused on. With that operator, can we open up the lines to questions.
Operator: 
Guy Moszkowski – Bank of America Merrill Lynch:
Guy Moszkowski – Bank of America Merrill Lynch: My first question is on expenses. You did have another significant decline but it was only about 1% lower in aggregate terms than first quarter a year ago. After the first quarter expenses did rise off that level for the remainder of the year. Where should we look for the expense run rate to be? Where are you finding any further cut backs that we’re seeing here in the first quarter? And, maybe you can give us a sense for what sort of compensation accrual rate you are using in securities and banking as a percentage of revenues?
John C. Gerspach, CPA : I’ll try to take it from the top down. If you take a look at the expense run rate, what is being impacted by it, I think you clearly see declines in Citi Holdings which you should expect as we continue to work our way out of those assets. We are, as I think we’ve been mentioning for the past couple of quarters, continuing to invest in our Citicorp businesses. On a going forward basis, I think that for the balance of the year you can expect that you’ll continue to see some rise in Citigroup expenses and how much Citi Holdings comes down depends really upon additional actions we would have against these assets. But, given where we are right now, I would say that you could expect expenses to sort of stay within the $11.5 to $12 billion range for the balance of the year.
Guy Moszkowski – Bank of America Merrill Lynch: Now, you alluded to some of that being driven by a further reduction in assets by holdings and actually a follow up question that I have is in special asset pool you did complete $6 billion in asset sales and your assets fell I think $12 billion on a pro forma basis. But, it was a quarter in which pricing on distressed assets seemed to improve quite a bit and obviously you reflected some of that on a mark-to-market basis. I wonder why we didn’t see more asset sales given the improvement in the market. Are there sales under negotiation where we might expect to see a pickup in asset dispositions in the second quarter?
John C. Gerspach, CPA : You can sort of assume that we are active with all of our assets in City Holdings, particularly that with the special asset pool so there are always discussion underway. Obviously, each quarter is somewhat dependent upon what we can actually close on in the quarter as well as the depth of markets to accept various types of assets. The marks that you noted, those marks also reflect some realized gains. For instance, you’ll note none of the appendixes that we provide to the deck, I think the numbers – we took the subprime asset marks up by about $800 million this quarter. But, somewhere between 15% and 20% of that number actually represents realized gains so it’s a combination of both marks and realized gains in all of these portfolios.
Guy Moszkowski – Bank of America Merrill Lynch: Would you say that the depth of markets and the marketability of some of those assets increased towards the end of the quarter? Again, just trying to look forward and see whether we might expect an acceleration of disposition as the year progresses?
John C. Gerspach, CPA : I can’t comment Guy as to whether or not something improved in the last two weeks of March, declined in the first two weeks of February. As I said, you can expect that we are actively working all of the assets at Citi Holdings.
Guy Moszkowski – Bank of America Merrill Lynch: Then I’m just going to ask one final question on the sort of central corporate treasury portfolio in the corporate and other unit. You had about $350 million of net rev, most of the swing obviously as you pointed out came from the TARP costs not being there as they were in the fourth quarter but we have seen at JP Morgan significant realized gains on that central treasury portfolio over the last couple of quarters as they batten down the hatches for higher rates. Are you doing something similar to try to reduce your exposure to rates? And, was there within that unit in the quarter significant realized gains from taking some of that rate risk off the table?
John C. Gerspach, CPA : You can count the fact that we always monitor our exposure to interest rates but there was not some unusual amount of gains that resided in corporate other for this quarter.
Operator: Your next question comes from Glenn Schorr – UBS.
Glenn Schorr – UBS: Could you provide any other color on card repricing? I mean I kind of know what it is conceptually but just curious on average rate going from what to what or dollar impact on the quarter on net interest income on card?
John C. Gerspach, CPA : I’m trying to think about it going from what to what. I mean we have repriced the entire now branded cards portfolio and our rates have gone up across the portfolio. I don’t have in my head right now Glenn, what the increase is overall. It’s just in general it’s a pricing up and don’t forget as we were pricing up we also introduced the fact that consumers who made their payments would then see in effect a rebate of their interest so there’s a lot of ups and downs across the portfolio but I just can’t give you on average what the rate increase was.
Glenn Schorr – UBS: How about revenue contribute in the quarter because you did note it but is it big, small, medium?
John C. Gerspach, CPA : Well, it was enough to offset the impact of the Card Act in the first quarter so the net of the two was clearly a plus in this first quarter.
Glenn Schorr – UBS: Normally not a question that I focus on but 20% tax rate, historically it’s much higher than that but you have a huge DTA that people should feel better about. How do you think about the tax rate on the go forward?
John C. Gerspach, CPA : I think as we’ve seen for the last several quarters, our tax rate right now is still being impacted by the geographic distribution of our earnings and our earnings now are still more concentrated in low tax rate geographies and so we’re getting an increased benefit from there. Some 20% arguably is not a rate that we would think would be sustainable over time. I think that as we work our way through this transition period, somewhere out in the future you would expect the more normalized tax rate for us to be in the 28% to 29% range.
Glenn Schorr – UBS: IB revenues were great for all the reasons that you mentioned but actually expenses were down. I don’t know how to read that because in the first quarter usually comp accrual would kind of go in line with the direction of revenues. Fat chance on this but I’ll ask it anyway, anyway to distinguish between marks versus just strong flows in revenues booked?
John C. Gerspach, CPA : No, I’m not going to comment on that. But, obviously the market volumes were up, our customer flows I thought were excellent this quarter and our underlying comp accruals reflect the performance of this quarter. 
Glenn Schorr – UBS: It’s different though, you’re saying it reflects but revenues are up huge and expenses were flat. It is a break from the past when you’ve had huge flows especially customer related flows, usually comp would drift up with it.
John C. Gerspach, CPA : I think if you take a look certainly year-on-year our expenses have been up. I probably should mention that in the first quarter we did have in this business a release of historic litigation reserve which tended to drive the expenses down below the fourth quarter levels and maybe that’s what you’re seeing in the numbers.
Glenn Schorr – UBS: Last quickie, do you have any Wells’ notices outstanding? I feel like I’m suppose to ask every company I cover that now.
John C. Gerspach, CPA : I think Glenn I probably covered everything that we’re going to say by my opening comments.
Operator: Your next question comes from Betsy Graseck – Morgan Stanley.
Betsy Graseck – Morgan Stanley: A couple of questions, ones on I just want a clarification on the Card Act impact, you made $400 to $600 pre-tax this year versus ’09. How much of that is in the run rate in 1Q?
John C. Gerspach, CPA : Obviously the impact of Card Act will increase as the year goes on. The $400 to $600 is a net impact, so net of the impact of our repricing. The first quarter as I mentioned, we actually saw a slightly increase, a benefit where our pricing, our change in terms impact outweighed the impact of Card Act in the first quarter. What you’re going to see for the remaining quarters is Card Act will eventually catch up and then probably over take the impact of the increased pricing.
Betsy Graseck – Morgan Stanley: But you didn’t indicate how much the benefit was on a net basis in the 1Q, right?
John C. Gerspach, CPA : No, I didn’t. All of these things if you take a look at the static portfolios, they’re somewhat tough to lay out with any sort of specificity. So I think the best guidance we can give right now is that on a full year basis, our expectation is exactly what we’ve said, the net impact of all of this will be about a $400 to $600 million negative impact on revenues.
Betsy Graseck – Morgan Stanley: Then on common Tier-1 ratio, up very nicely relative to the FAS 166, 167. Then you also indicated that you’re shifting from cash in to higher yielding assets at the margin, I just want to kind of square the circle here and understand how you lowered the RWA in the quarter at the same time were able to reinvest cash in to higher yielding assets. Can you just give us some color as to what was the back drop to all of that?
John C. Gerspach, CPA : Don’t forget the risk weighted assets are exactly what they say they are, risk weighted. So as our loan portfolios continue to decline you’re taking off 100% risk weighted assets and so even substituting them with high quality interest earning assets you can still get a pick up or a decline in your net risk weighted assets.
Betsy Graseck – Morgan Stanley: Cards is what, 100% risk weighted and mortgage is 50%?
John C. Gerspach, CPA : Well, it also depends upon the mortgage, and where it is, and aging and everything else.
Betsy Graseck – Morgan Stanley: Could you just give us a little bit of color as to how much more room you have for reinvesting the cash in to the higher yielding assets? How far along in that process do you feel you are?
John C. Gerspach, CPA : Well, I think some of that really depends on obviously how our cash generation continues to be paced. That’s also somewhat driven by our ability to then actually grow more earning assets in our Citicorp businesses. I personally would think we would be more focused on growing those interest earning assets in the near future as the most natural outlet for increased cash that we would generate. 
Betsy Graseck – Morgan Stanley: Lastly, when does capital management start to kick in with 9.1% common Tier-1? What are the triggers that you see for dividend reinstatement or share buybacks?
John C. Gerspach, CPA : I haven’t heard dividend reinstatement in a while. I have to absorb that for a second. Right now, I think what everybody is waiting for is some sort of clarity as to where the capital requirements settle out. I think that’s probably an answer you’re getting from every institution at this point in time.
Betsy Graseck – Morgan Stanley: That was the BIS stated out there today, or over the weekend, what everybody’s commentary was so I read through your commentary that Citigroup indicated. There’s obviously a lot of moving parts and challenges to the BIS or questions with regard to how they’re triangulating. Maybe you can just give us a sense as to what you think your common Tier-1 ratios are that you feel you need to run the business and absorb the risk in the business?
John C. Gerspach, CPA : Well, right now we’re very happy at 9.1% and if we continue with the performance, any sort of performance like this, you’re going to see our Tier-1 common ratio grow.
Betsy Graseck – Morgan Stanley: Right, but you have to triangulate against returns versus capital. I guess you’re not going to give an answer at this stage.